Wang Rui: 00:04 Media friends, good afternoon. In this pretty special year, thank you for joining us in Ping An Healthcare and Technology Company Limited Annual Results Announcement. I'm Wang Rui, the Head of the Marketing Department of the company. 2021 has some disney keywords for new transformation, and we were upgrading the strategy to synergies with Ping An Group's strategy, and eco system to strengthen O2O Service and family doctor memberships to make sure we can save time, money and energy for customers. We also want to empower government and increase efficiency of social healthcare. 00:50 Going forward, let me introduce the management attending the announcement. They are: the Chief and President of Ping An Healthcare and Technology Company Limited, Mr. Fang Weihao; Vice President, CFO of Ping An Healthcare and Technology Company Limited, Ms. Zang Luoqi. And this announcement will follow three parts: first of all, the management will introduce the performance of 2021 and the CFO will introduce the financial highlights of 2021. The last part is Q&A, the management will interact with all of you, and you can also watch these announcement through Ping An app  and other platform, you can raise your question through our official website, and please write down where you belong, your organization, when you raise the question. 01:56 First of all, let me invite Mr. Fang to introduce the performance of the company for 2021.
Fang Weihao: 02:05 Dear friends from the media, thank you for your trust and support for Ping An Health. Now, I want to introduce the industry overview, company performance highlights and deepening progress of strategy 2.0. The year 2021 is the second year of the post pandemic era in the world, with a spread of faster and more infectious variant viruses such as Delta and Omicron, the prevention and control of COVID-19 has become more difficult. With the vigorous development of industry, Ping An Health, as the leading enterprise antennas, internet, medical industry, adheres to the value of proposition of worry free, time saving and money saving gives full play to the advantages of timely and efficient internet medical care and mix outstanding contributions to national policy of healthy, China 2030, and a 14th five-year plan for medical and the health services. 03:01 To break the time and space restrictions. In the post pandemic era, with the continuous improvement of the whole societies awareness of virus prevention in health, users understanding and recognition of Internet medical care, are also currently strengthening. Accenture’s Internet medical survey in 2021 shows the nearly half of the respondents have increased the utilization rate of Internet medical services, compared with the year before the COVID-19. More than 90% of respondent are willing to choose online inquiry, online point registration and online medicine purchase in the coming year. And more than 80% of the respondents are willing to choose remote competition in the coming year Frost & Sullivan predicted that in 2025, the scale of China's Internet medical health market will radically increase to RMB1.5 trillion, and the penetration rate will increase from 4.3% in 2020 to 13.2%. 04:02 Looking back over the past year, the policy side continued to support Internet medical care as a whole. The 14h five-year plan for our digital economy development issued by the state council listed Internet medical care in a new format cultivation project of digital economy. On the other hand, the policy has also strengthened the compliance supervision of the industry. In March 2020, the National Development and Reform Commission together with many departments formulated the implementation plan for accelerating the cultivation of new consumption and proposed to actively develop Internet plus medical  (ph). In August, the National Health Commission and the National Medical Insurance Bureau issued the long-term prescription management specification on trial, which proposed to strengthen the application of Internet technology in the long-term prescription management specification from various angles. 04:56 In October, the National Health Commission issued Internet diagnosis and treatment opinions draft for comment, which put forward higher requirements for the industry from the specs of personnel business, quality and safety. The marketing specs that the relevant regulatory measures for online drug sales will also be implemented in the follow-up. 05:16 Further standardizing the scope of online banned drugs and the process of prescription drug purchased by prescription. Since the beginning of this year, Ping An Health that has combined years of insights into the industry and it’s unique advantages to build the three dimensional service system with certain competitive berries. The company has late viewed an HMO health model, the overall business model of Family Doctor membership system plus OTO medical service can better serve the payer and empower the supplier. The goal of accurately matching users needs and improving users experience is made clear, and Family Doctor membership system is taken us a starting point to built a trusted bridge of communication between doctors and patients. 06:00 The highlights of the company's performance will be introduced from the following aspects. First of all, the ability to get customers and a strict customers is constantly improving. Secondly, the company's service ability has made great progress and continued strengthen compliance and quality control management. Thirdly, through our remitting exploration, realize there is ways of monetization and build a three dimensional competition barrier. Fourthly, explore the Groups advantage of HME, manage medical model, customer product after sales service to achieve synergy and resi property. 06:34 By the end of 2022, our accumulated registered users had achieved 420 million and accumulated consulting volume also maintained the leading position in the industry, with 1.27 billion person times. At the same time the focus of customer acquisition channel had led to the rapid growth of the cumulative member of paying users in the whole year, exceeding 38 million, an increase of 6 million, compared with LTM data in the first half of the year. After years of an intensive cultivation in industry, we have to reform the users strategy classified users and product according to users’ minds and demands and continuously improved users’ stickiness. 07:16 First of all, for users with less awareness of incorrect medicine, we provide free service supported by AI, including free and authoritative medical and health, encyclopedia and online inquiry.  (ph) for users who use platform, services, through various customer access channels, we connect the whole thing in series through the Family Doctor membership system cultivate users awareness and transform their consumption behaviors and view trust between the platform and users through coherent and efficient health services and effective online and offline performance. 07:52 Finally, with diversified and high quality value-added services, we provide flexible portfolio priced and interest to improve the value of single user and expand more and more deep users. In 2021, the conversion rate of our paying user was 24.8% and the per capita consumption behavior was 1.48%. The second part of the performance highlights, we hope to show companies constantly improving service, capabilities, especially the Family Doctor membership system and a compliance quality control. We are committed to creating an efficient comprehensive and professional Family Doctor membership model to realize serving payers and empowering suppliers. 08:37 We built a system of one health record plus five professional services, plus one Family Doctor system. The Family Doctor team can undertake the traffic from various channels, soft user demands, build trust between the platform and customers in the service, fully understand user needs, term passive users into active users, and drive all kinds of users to use value-added products and services. Our own medical team and AI assisted diagnosis and treatment system can quickly respond to users need 7 days, 24 hours and over 40,000 internal and external doctors teams and health teachers, dieticians and psychological counsellor’s from 20 departments accumulated on the platform carefully cover users modern dimensional needs such health,  decision, chronic disease and old aged care. 09:34 It's worth mentioning that Ping An Health expanded rapidly with strict entry barrier during the reporting period. Network of famous doctors and experts more than 1,100 external family famous doctors signed on the platform not only created the professional and authoritative serious medical image of the company, but also empower users experience, employees products and serve users in their channels with high quality medical services thus accelerating the establishment of user trust with a gradual improvement of industry regulatory policies. With regard to compliance and quality control the life line of business, we carry out medical, quality management in strict accordance with the relevant regulations in Internet medical management, improve the online competition, quality control system, and a medical record of quality control system and establish online competition and electronic medical quality control standards with both the competition A rate and medical record A rate exceeding 98%. 10:36 We have established a mixed internal control management mechanism of inspection and self inspection of its entity medical institution to ensure that the medical quality and a drug management quality of institutions are in stable state. We have perfected the AI monitoring system, especially the abnormal event management system, intensive care system, rational drug new systems, et cetera, effectively ensuring the safety of patients. 11:02 In 2021, the company's patient satisfaction gradually increased and there were no major medical complaints and disputes throughout a year. At the same time, we have strengthened the training management to carry out training for our medical regulations, medical management systems, and professional knowledge. We organize them more than 1,000 training sessions throughout the year covering all medical staff and actively explored opportunities for doctors to communicate with others and to pursue further studies opportunities. 11:32 Next, we’ll show various ways of monetization to all media friends. The first is a membership product, our members come from the cumulative fee and traffic of the platform, including the enterprise customers and employees brought by Ping An Group. The second is various value-added services based on basic membership packages, which can be online and offline. The content covers all kinds of medical and health categories, the ways are performing the contract can be online offline and door-to-door. The third type is more intuitive, it’s commodity, self including prescription drug purchase, online shopping mall, drug supplying chain, the insurance channel of the app. The fourth kind is only internal, including the enterprise welfare exchange platform linked by the commercial insurance, the drug purchased direct compensation service guaranteed by commercial insurance, and a consultation plug-in for life insurance, in the process of building a commercial model. Our unique advantage lies in the impairment of the commercial insurance ecosystem and Family Doctor membership system. 12:50 It's an important direction in Ping An Health. We have been exploring to tie -- to tap the opportunity of experienced technology customer and resources of  managed medical model and the medical ecosystem of the Group. To achieve synergy and the mutual benefits to company corporate versus Ping An Group to jointly great finance through the information of financial class medical and health services. The Group help us realize customer impairment, product impairment and technology impairment. Ping An Group has 225 million personal financial users and Ping An employees of large and medium sized enterprises have penetrated through various channels. They have a strong correlation with safe and healthy medical and health services and are our important customer base are a close corporation can help realize the simultaneous growth of the member of customers, customer thickness, customer recognition, et cetera. 13:49 Ping An Group also brought a strong technology co-impairment, including remote diagnosis and treatment covering 2,000 diseases, guiding diagnosis accuracy of over 99% and auxiliary diagnosis accuracy of more than 95%. The five largest medical data base in the world, which become a strong backing for the healthy development of Ping An Health. 14:18 In the Investor Open Day on October, 22nd last year, we announced the deepening of strategy 2.0 to the market based on this we will report some recent progress to you. We take serving every user as our initial intention and a worry free time saving and money saving as our value proposition. During the reporting period, we made adjustment to the customer acquisition strategy focusing on optimizing the c-end and focusing b-end, speed up gaining the trust of users, deep -- big deeper into the needs and the pain points of different payers and created reasonable product metrics. At the same time, through one plus five plus one Family Doctor membership model, we can match the multi-dimensional needs of users such as health, sub-health, diseases, chronic diseases and old aged care. We've also conducted a large number of medical services institutions and health service institution and maybe standardized the coordination through a complete supplier management system, customers have diversified in a convenient ways to perform the contract such as online, offline and door-to-door. 15:21 First of all, let's take a look at how c-end focuses on the management of the user quality. During the reporting period, we were even more aware of the quality of users and services for us, reduced high cost of flood traffic at c-end to obtain customers and help doctors and nurses, treatment solutions are divided according to different demands of users with AI tools that company provides users with free and authoritative medical encyclopedia knowledge and online inquiry services. At the same time paying system is fully implemented for online consultation and diversified service options for paying members and paying non-members. Therefore, it not only achieved the wide coverage of c-end customers. But also effectively migrates the target users to individual payment, users or members. On the c-end service content, we did deeper into the vertical fields and add special disease, service package to meet the urgent needs of special patients, upgrade the diagnosis and treatment system, provide flexible portfolio of member, products and improve patients management after diagnosis, after the full implementation of paid consultation, the payment rate increased by 19.1% to 23.1%. The per objective turnover rate increased by 12.9 percent points to 22.2%, while the overall five star favorable rate increased by 1.4 percentage point to 97.2 percentage point. 17:02 Secondly is an important direction that Ping An Health have been scoring to better realize the two-way corporation with financial business. Commercial insurance one of the main payers of medical and health expenditure in China with the policy encouragement and social demand. The proportion of commercial insurance expenditure in total, personal, medical care and health management expenditure is gradually increasing. Among them in the health insurance product, the shared cost related to health management service can reach up to 20% of the net insurance premium. Comprehensive financial channel is one of the core channels for obtaining customers safely and healthily and transforming high value users and is also the unique competitive advantages of the company. 17:45 During the reporting year Ping An Health, has initially established a multi level product system. Together with Ping An Life Insurance, we have launched Zhen Xiang RUN series of services to cover critical illness insurance policy users, internalizing the basic productive packages into the policy. So users can enjoy a member of rights and interest such as critical illness, project management service, package, real time, audio and a video competition rights package, health management service package, and so long without extra pain. 18:21 During the reporting period, the member of users of critical illness to insurance policy using health management service and audio and video consultation service, per capita increases significantly. Customer recognition trust and stickiness further improved and gradually transformed into company's quality customer. In addition, we're also corporated with Ping An Health to launch E, Sheng Bao outpatient package co-operated with Ping An Property and Casualty to promote health ecosystem, provide online consultation service for online users of Ping An Life Insurance, and who joined launch a variety of user service rights and interest to towards Ping An bank and Ping An Puhui. 19:03 We co-operated with Ping An Group to create -- finance through the service combination of finance plus, medical health, providing differentiated services for the Groups 225 million individual financial users and driving the growth of the member of the customers thickness, customer recognition, et cetera, and improving the life cycle value of users in the future with committed to exploring other channels, that have not been reached yet and continue to explore the potential of the corporative channels. 19:37 The third point is our most important strategic direction. This year -- that is to provide systemic, professional and well resourced one-stop health management plan for enterprise, employees, high quality medical and health services are the best benefits to improve employees health level and satisfaction according to the international experience. Enterprises are one of the most important payer of person know health management accounting for more than 90%, currently enterprises have related expenses including 5% supplementary medical expenses, 14% employee welfare expenses and 2% union expenses. However, the market has always had the pain points of lack of system for effect and fuel resources. Therefore, the huge 310 million employee market is another focus of Ping An Health. 20:38 Ping Group has served a large number of large and medium sized enterprises through various channels covering 17 million employees, laying a good business development foundation for us to find out the needs of enterprise customers and match them with suitable health management services, especially in respective customer access and in market education. Based on the accumulated experience of serving enterprise customers, we plan the business model in-depth and complete the product systems. 21:10 Reconstruction according to the demand of enterprise customer for product and services, we have formed a categories of products employee, physical examination, employee health management, and enterprise welfare exchange platform. In 2021, we served a total for 520 enterprises, covering more than 1 million employees and customers. Among enterprise service product, employee physical examination has a high acceptance rate. In order to strengthen the competitive advantage of b-end, we upgrade the pre- examination, medium-examination and post- examination services on the basis of single group medical examination service and formed a medical examination plus product manual during the reporting period. We have launched the overall evaluation report of the enterprise and interpretation rate of report has doubled after the inspection. After that, we will continue to upgrade a medical examination productive employee. 22:09 We deeply researched and explored need of enterprise and employee and reconstruct employee health management product system from the three demands of high frequency of their needs and activity by continues iterating the operations strategy of an enterprise side of service. The Company promoted the secondary transformation of enterprise employees in the Company's product systems and promotes the cross-selling of medical and health product. 22:34 The third category is products. The third category of products is the enterprise welfare exchange platform provide employees with richer consumption scenarios and categories and realize online and offline multi-scenario welfare exchange between employees and the customers. At the same time, we’ll integrate professional consultation services and a comprehensive medical and health resources and provide customized medical and health services for employees and customer through products, such as equity pools, in the future as an important component of the HMO managed medical model of the Group. 23:09 Ping An Health will continue to focus on upgrading of the enterprise customer expansion channels, both internally and externally. On the one hand consolidated products and services deeply integrate with Pin An Group services establish product coordination mechanism and land productive efficiently. On the other hand, we will also pay attention to the construction of external channel network for an effective customer extension channels and different types of channel strategies, dig dip into customer needs, accurately match related services and launch innovative projects. 23:45 Throughout the year, we have built a number of corporation projects with large state-owned central enterprises, which not only serve employees, enhance employees welfare awareness, but also helping enterprises add and retain customers, for example, we corporated with central enterprise in HMO insurance direct compensation project to Ping An Health as the service provider realized on Ping An Health Insurance as a payment bridge to provide a central enterprise with the service rights and interests of direct compensation for drug purchase, online consultation, video consultation, all patients registration, registration of famous doctors, and hospitalization of famous doctors and make settlement with health insurance. By the end of last year, the total amount of this project was 11.18 million, the user's penetration rate reached 44% an average member of consultation and visits by enterprises was 2.47, which was highly priced by customers. 24:42 The next pace is that we incorporated with a provincial company of central enterprise to exchange employee benefits platform. The payment fee of these enterprise comes from  (ph). Ping An Health is the only platform for employee welfare exchange in this enterprise. Employee use all kinds of services, including drug consultation services, namely online consultation and drug rise and interests through the extensive Ping An Health App, medical rights that is exclusive doctors and medical services of enterprises, and health services, including physical examination, medical beauty consumption during screening, et cetera, more than 30,000 employees are being activated by this project. 25:25 The conversion rate of user has reached 63% and the fund pool size is 135 millio UM. Our Family Doctor membership system is unique in the industry, and they are not only doctors, but also navigators and account managers, when our users enter our platform from different channels. In the first half of Family Doctor team is to evaluate and file and puts information into fire and provide 1,000s versus by pooling through the hosting data, establishing users exclusive health portrait and a more than 2,000 health file book shelf labels. 26:03 The second step is to provide consulting services after the AI assist diagnosis and treatment system conducts trials and guidance. Our Family Doctor’s fully made the needs of customers. The 60 second connection rate of our Family Doctor is as high as 99%. The 60 second response rate of the third division consultation is 95%. The first step is diagnostic matching, which is convenient for customers to perform the contract through online service, offline to store and offline to home. The fourth step is to track service to insurance series of processes and supplement to service break points. The fifth step is their service return visits in order to increase user service experience, and strengthen the secondary transformation and a conversion and amid the service demands of members in various scenarios. 26:55 We continuously deepen the offline medical and health service network through the membership system of Family Doctor as the enterprise and navigator through the service model of online, offline and door-to-door, as well as the product center, which covers product management, supplier management, service management and the quality control, physical examination. The flow matching and integration of the hosting can be realized during the reporting period we’re continuously strengthened the network submission of medical execution. 27:22 By the end of 2021, there were over 3,600 corporative hospitals in the company of which over 50% were top three hospitals were continuously upgraded drug service capacity, expand the logistics network of central warehouse and improve the efficiency and a scale of retail business for all parties concerned. During the reporting period number of corporative pharmacies have reached 202,000 international coverage rate of -- from 34% more than 225,000 into warehouses had been laid out and when our drug delivery has been achieved in 140 cities as for network of health institutions by the end of 2021. The number of health institution, we corporate with has reached a 96,000, among which we made great efforts to view the ACE medical examination programs forming a close loop surveys of pre-examination guidance, plus post-examination, interpretation plus solutions. 28:15 The number of medical institutions we covered with exceeded a 1,700 covering to 321 cities across the country and a accumulated number of the medical examination exceeded 1.9 million throughout the year with interpretation rate of medical reports over 39%. In the meantime, we actively practiced corporate social responsibility, the company attaches a great importance to data security and in privacy protection, and also use scientific and technology means to extend the service radius of high quality medical resources, help for areas to improve the level of basic medical services and start the problem difficult and expensive to see doctors for local people. We also actively contribute to develop in the medical science population in 2021 our MSCI ESG review is outstanding and we've been ranked a level. 29:09 And that’s the end for my part.
Wang Rui: Thank you, Mr. Fang for your detailed instructions to the overall performance of the company. Now, please ask Chief Financial Officer, Zang Luoqi at Ping An Health to introduce the company's overall financial performance in 2021 with the main highlights.
Zang Luoqi: 29:30 In 2021, the company's total revenue was RMB7.334 billion, an increase about 7% year-on-year, of which the realized revenue from Medical Services was RMB2.288 billion, an increase of 8%. The revenue of Medical Services accounted for 31.2%, an increase of 0.3 percent point year-on-year. 29:55 During the reporting period, our business segments continue to gro. And most importantly, the business quality have been improved steadily. The revenue growth rate of our Medical Service sector is 8%, which is higher than that of the Health Service sector and a gross profit margin of the factors of 36.1%. The revenue growth rate of the Health service sector was 6% and the gross profit margin is 17.5%. 30:28 During the period of deepening this strategy, we strictly controlled expenses, achieving a 10% year-on-year profit reduction in the second half of year and 7% month-on-month decrease in the expense ratio in the second half of the year. Attached is a summary of the company's profits in 2021 for your reference, that's also from my introduction. Thank you.
A - Wang Rui: 30:57 Thank you, Ms. Zang. And now let's enter to the Q&A session. And we just refreshed the Q&A part. At the back end and there a lot of question raised and I will choose some questions for management to answer that people are commonly concerned. So the first question is from Hong Kong Media, Hong Kong Economic Daily. Internet Medical industry have witnessed the strict regulation and how industry has been influenced. So the question is whether the regulatory policies influence your business and in which ways and I will give the floor to Mr. Fang.
Fang Weihao: 31:49 I answer the question. Last year, October last year, and I believe we all pay attention to the relevant government agencies policies in terms of the management of Internet medicine, and I know many media concerned about implementation of these policy and whether it will influence the industry entities. So for us, we think the policy was just launched on time, and we welcome and support the policy. We know Internet medicine industry in our development, was supported by relevant regulators and government agencies during the pandemic. 32:39 Internet medicine solved a lot of problems through remote consultation, but as time passes, and as more and more entities join this market. The relevant policies, whether launched to further regulate the industry. We think all these policies are really conducive to the whole industry, because first of all, based on our previous experience, we really pay attention to the establishment of quality control. Several years ago, we set up dedicated medical quality assurance system to monitor the quality of our medical cases to limit the error rate. And also the A rate of the medical cases has increased over 98%. Also, at the back end, you can see every month the medical case compliant rate has been improved a lot. The latest statistic is 1.14 per a hundred thousand cases, is a really good figure? 34:17 Secondly, In the past a few years, we also paid attention to lowest and compliance construction. We have a 12 internet hospitals across the country for our internal doctors and external doctors, they can have multi-cited practice. And they also be very helpful to us to gain certification. We also strictly come back the real name consultation and a real name prescription. We will be based on online competition to give precise diagnosis before we issue prescription and later services to customers. 35:07 Thirdly, there are a lot of AI tools online, those AI technology can largely increase efficiency of doctor's consultation. AI can help our doctor's team to do pre-examination triage and also layered diagnosis. During the consultation, doctors can get more assistive tools using our assistive diagnosis system. The system can accelerate doctors, consultation and diagnosis, as well as the suggestion of drug use, whether those AI assisted suggestions will be taken is up to doctors and we also see our AI system can provide suggestion to doctors with 70% of them accepted. Each prescription will be verified by doctors’ fingerprint before we approve. So we have done a lot in this regard with disciplines and we believe these measures will be in line with the policies issued by the regulator and we made enough preparation even before the policy came out for a company like us, the log in compliance cost already incurred. So is ready a new normal for us. 36:48 The policy will regulate the industry to develop in a strong and healthy way and as a top leader in the industry within the policy is very beneficiary. It's a good news for us.
Wang Rui: 37:03 Thank you, Mr. Fang. The second question is from Xinhua News Agency. We found Ping An keep developing Internet medicine industry, and keep supporting development of HME. How is your HMO business? And is there any product to implement it already? I will you the floor over to you Mr. Fang.
Fang Weihao: 37:32 Since last year, we keep upgrading our strategy 2.0. In the meantime, we keep deepening this strategy and in October last year, we officially launched HMO Plus, O2O Plus Family Doctor System to the market. Our development is also switched from heavily aligned on c-end. To another direction, for example, we used to focus more on quality over quality, but we now focus more on quality on c-end business. As we try to involve HMO business into Ping An Group, we also want to provide enterprise employees with more health service. 38:31 We're also working with Ping An health companies, we provide them with commercial insurance plus, healthcare service to their employees after the launch in October last year, we're also working with Ping An Life Insurance, our commercial insurance partner to launch Xiang Run for different layers of customers of Ping An Life. We divide them into low, mid and high end customers based on their policies for different kinds of customers, we provide different kinds of in health care service. And Family Doctor System will connect all these together online, offline all those services what we packed together. Different customers enjoy different benefits. 39:27 And this method makes Ping An Life Insurance more competitive in terms of any more policies and the premium policies. And also, we launched  plus outpatient package, it's really typical insurance, which involves healthcare insurance plus healthcare service product, and these product contribute a lot to the performance of Ping An health insurance. And in terms of b-end business, we provide healthcare care management services to employees. We come up with different productive series, we work with insurance company to provide insurance product plus healthcare care management service was an enterprise choose to have a more supplementary commercial product. They will also purchase healthcare care management system to top up the benefits of employees. 40:42 Secondly, for companies with really good performance, they will have medical found and around their medical found, we can provide more diversified healthcare care services for their employees to choose. So the employees can use those services to guarantee the health and safety of themselves and their family members. And that's the welfare exchange platform. 41:22 Thirdly, we provide pure healthcare care management service, including Family Doctor, including numerous online and offline services combined together. After all those product lines launched last year, especially in the second half of last year, we gained a lot of customers among them many were large clients and I just gave you some examples. Ending the following project, we found some clients in some leading clients in their correspondent industries were in close contact with us. And I believe we'll have more and more customers and clients choose us to provide health care management service to their employees with warmth.
Wang Rui: 42:25 Thank you, Mr. Fang. The third question is from  (ph) Agency of Hong Kong. The question is on the Investor Open Day, you mentioned strategy deepening plan and you brought forward HMO plus O2O plus Family Doctor System. And also new revenue model and also launched the breakeven goals, whether we can breakeven even as expected? And I will also give the floor to Mr. Fang to answer this question.
Fang Weihao: 43:05 Last year, we disclosed our strategy and this strategy is exploration of strategy 2,0 after the upgrading of our business last year. I know with that the new direction with the new direction we upgraded our strategy, we just mentioned these upgrading can be divided to two parts: first, is to adjust the c-end from purely focusing on quality to more focusing on quality, because now we already have 420 million customers and clients. We want to look for members, who are already our c-end customers. And the second is the b-end business to be business, and we provide HMO plus Family Doctor System, plus O2O strategy is a really big project in which like I just mentioned, we are collaborating with insurance companies, we're collaborating with more enterprises to provide our multi-series product and services. And those product and services are rather diversified for employees, compared with the pure health checkup service and we also provide richer options for enterprises for Family Doctor Service, this Family Doctor Service can connect online and offline, it’s like a bridge. 44:48 It can provide end-to-end service to employees and enterprises, they actually constitute a really wholesome service for employees. Ping An Health is the open platform, we welcome more vendors to join this platform to help our enterprises clients and enterprise employees to get more options, but the realization of this project is really long and really complex. Because the connection of an each link has to be in line with detailed SOP, and the quality assurance standards. We think these processes will last for a while, and we need to have uncertain investment into this process. So in the future, I think we will stick it through. And based on our short-term pilot, many examples have been shown to be successful. And in the short, wrong, you will see more and more verified cases to be implemented in a successful way.
Wang Rui: 46:04 Thank you. Thank you for your questions. Thank you for the answer. The fourth question is from Security Daily. The question is by the end of 2021, you have these equity buyback plan, and you keep buying back equity, whether we will expanding this plan and I will give the floor you to Ms. Zang to answer the question.
Zang Luoqi: 46:34 The board believe the equity have been underestimated and our current financial assets will support the equity buyback project to make sure that we can keep operating in really solid and sound financial status, and the suggested equity buyback plan show the confidence of the management and the board. We use the current asset and also the cash flow to purchase the ordinary stocks, and we will purchase more than 56 million stocks. And the time will start from here to the next board meeting and we have already spent more than 500 million to do the buyback plan after the annual report issued, well based on a market condition and also the performance to stock to start the second phase buyback plan? Thank you.
Wang Rui: 47:49 And the next question is from Hong Kong TV Satellite. The stock price of the company were really high, but we saw the price plummeting now is stabilized at a relatively low price and how -- shall we increase the stock price and I will give the floor to Mr. Fang.
Fang Weihao: 48:14 The stock price can be influenced in different ways. And we see the external and internal domestic and overseas condition, as well as the industry's state. There are many different factors influence, I want to answer the question in a way that we can make an effort to increase the stock price to make sure that they can actually in line with the reality of the business performance. I think we hear more about the real value of company, the long-term dollar company cannot be determined by the fluctuation of a stock price. And I want to answer in a way to show you that for why -- how we can meet the expectation. 49:04 We have this new strategy for the next few years and these strategy started in the second half of 2021. And we upgrade our products, channel and capability. Based on that, we keep exploring and found HMO Plus, O2O Plus Family Doctor System. Around these strategy, we will provide healthcare care management system for enterprises and enterprises employees. I think these strategy is in line with the expectation of the market, because for Ping An Health, we cannot just be a simple medical institution, we are not a pure medical institution online. And how can we define ourselves clearly? And how can we differentiate ourselves from offline medical institutions? And how can we clearly position ourselves in the minds of users? I think more importantly, we hope ourselves to be a comprehensive solution provider for users. 50:17 I think this is our positioning. As you know, our patients if they go to hospitals they have front-end and back-end, kind of, a missed out in hospital visits. But Ping An Health, we want to provide this whole chain service to customers, for example, maybe they do not know whether they have disease and they have some doubts about themselves and these part can be covered, and also after they go back home from hospital, when they should stop taking drugs, and is there any way to help them recover after operations or after treatment so all those front-end and back-end include can be covered by Family Doctor System, online and offline and is each link of this hospital treatment, this is our big direction to go. 51:18 And if our Family Doctor System is one and other services will be end, one plus and plus health record. One plus one plus and service, combined together can be a comprehensive medical health care management systems. By the whole, well, the payer off in the service, we will find a payer to pay  and the prices and insurers, because enterprises and insurers are willing to increase the satisfaction rate of their employees and their customers. The provision of this kind of a product can help enterprises, satisfy customers and employees, and can also  (ph) their brand image. And for insurers, if they provide those services to their customers, if they can provide warm insurance to their customers, their customers will be more satisfactory and they will see the differentiation of the insurance provided by insurers. So there'll be more warmer insurance product in this way. 52:35 We hope these strategy no matter for insurers or for enterprises can be really beneficiary and after the b-end is willing to pay, and whether we can make c-end customers have sustainable satisfaction rate, that's why we care a lot about Family Doctor Service 7 days, 24 hour service and a companion diagnosis and treatment can actually make c-end customers repurchase more and to form a word-of-mouth and also the conversion rate of c-end be increased in this way. 53:23 We have already seen their statistics last year, we see a double growth, and that's exactly because of what I just said. And you if we can follow this path, no matter for c-end also b-end customers, if we can stick it through, we can have a flywheel effect. And we can form a virtuous cycle. And our revenue and a profit can be the side effect of all this.
Wang Rui: 53:51 Thank you, Mr. Fang. The sixth question is from the Hong Kong Agency -- News Agency. And it has two question, the first question is since last Ping An Health start expanding e-end business together with Ping An Life Insurance and Ping An Property and Casualty Insurance whether we will expand more channels and while those channels be inside Ping An Group. The third question is whether you will have a new timeline for profit making.
Fang Weihao: 54:27 The second question already being answered. And for the first question I will answer them in details. For Ping An Health, our current service upgrading is just a get started. And many services, many experiences need to be honed. And this morning, we took a look at a set of data, and I can share those data with you. We just talk about the complexity of these upgrading, because we have the pinpoint of difficult and expensive to see doctors and a service provided by hospitals were not that comfortable enough and think this is about the pinpoints we are all concerned with, because going to see doctors is an unpredictable journey. You'd not know how much you are paid, not know, how long it takes you for it end, you know, you don't -- need not know whether you have operation. And I hope this whole journey can be changed in some way. 55:32 And that's why we use Family Doctor System to come back to different services together, but it's really complex journey. And we saw our product product SKUs reach 300,000 and our product cards have from 1,000 and our SOP perceives among to 200 and there are lot of links need to be perfected to make sure experience is better, it’s not a easy job to do. So we hope that this journey can be good to customers, can better serve insurers as well. Now we’re concentrating on working with Ping An Insurances. These are like experiments to us, we also like to provide insurance customers with warm experience. 56:42 In the future, we do not want to just limit inside Ping An Group, we want to provide the service to more external groups. There will be a lot of enterprises and channels, who can be our partners, for example, insurance agencies, HR Service providers, and also industrial partners, those industrial partners will work with us to provide innovative and good and new type of services to customers instead of just a pure health check up, those one stop package can be exposed to more customers and enterprises.
Wang Rui: 57:28 Thank you, management. In interest of time, I have a one last question for the management. The question from the First Financial Daily, and the gross profit margin compared to 2021 decreased a little bit and how shall we deal with the burden of a loss, and I will give the floor to Mr. Fang.
Fang Weihao: 57:56 We just explained a little bit. On 2021, we determined the three upgrading product channel and service and 2021 is the first year, we started up gradation and we invested a lot strategically, including the doctor's ecosystem, the business healthcare management and also the establishment of an Internet hospitals, so those investments if we look back, I think those investments are necessary and are  of our effort. The strategic upgrading, product upgrading, capability upgrading channel, upgrading, so these investments prove to the worthwhile, I think b-end business is the most important part we should cultivate. And insurance is also one of the most important clients we should hold. And in terms of product upgrading, Family Doctor System with doctors as the core will be the most important thing and it was a found O2O business, we have this open business it's not just the simple distribution through supplementation of some pinpoints and we can make this medical service to become better quality service to our customers and these O2O business is what we aiming for. 59:44 And in doing so, we concluded HMO Plus, O2O Plus Family Doctor System combined together as our strategy. And when we look back, I think this investment is worthwhile is very necessary. Last year, the loss expanded a bit is also related to those investment in the future, those investment will continue, but the overall investment will be lessened, because the large amount of investment have already been paid. The gross profit margin has been decreased a bit, because we changed our strategy, we started to switch from quantity focus to quality focus and in this process, some high cost and low revenue services has been removed. More and more energy and resources have been paid to the new strategic interactions as we upgrade. And this is what we saw last year the revenue decrease. This is because the transformation, the gross profit margin decrease is also related to -- is related to COVID-19. 2021 saw the most serious pandemic, so you can see the health checkup information picked in 2020 and that's in 2021 that’s why we see the gross profit margin decrease.
Wang Rui: 61:29 Thank you, management. And thank you for the question. Of on the media that's the end for the Q&A. If you have any other questions, please get into contact with the PR Department of our company. We will always hold on to our first intention whenever forget our goal. Ping An Health is doing a really great undertaking by innovating our business model and also quality assurance to make sure that doctors and customers can all enjoy the service in a better way. In the future, we will try to make more contribution to 2-30 Healthy China Strategy. Ping An Health and Technology Company Limited. Now formally announced the end of the annual result announcement, I hope the media friends can keep pay attention to us in our performance. Thank you for your attention. End of Q&A